Operator: Good morning. My name is [Tequila], and I will be your conference operator today. At this time, I would like to welcome everyone to the Verisk Analytics’ First Quarter’s Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Ms. Eva Huston, you may begin.
Eva F. Huston: Great, thank you, [Tequila], and good morning to everyone. We appreciate you joining us today for a discussion of our first quarter 2012 financial results. With me on the call this morning are Frank Coyne, Chairman and Chief Executive Officer, Scott Stephenson, President and Chief Operating Officer, and Mark Anquillare, our CFO. Following some comments by Frank, Scott, and Mark, highlighting the key points about our strategic priorities and financial performance, we’ll open the call up for your questions. The earnings release referenced on this call as well as the associated 10-Q can be found in the Investor section of our website verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. A replay of this call will be posted on our website and available by dial-in as well for 30 days until June 2, 2012. And finally, as set forth in more detail in today’s earnings release, I will remind everyone that today’s call may include forward-looking statements about Verisk’s future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance is summarized at the end of our press release as well as contained in our recent SEC filings. And with that, I will now turn the call over to Frank Coyne.
Frank J. Coyne: Thank you, Eva, and good morning. In first quarter 2012, we delivered good performance of almost 11% revenue growth, 17.5% diluted adjusted EPS growth, and strong free cash flow growth. We continued strong performance in our businesses, and we are seeing benefits from our 2012 invoices and the improving performance of our P&C insurance customers. In 2011, P&C industry premiums grew 3.6% versus 1.5% percent in 2010. While the 2011 industry premiums don’t figure into our invoices until 2013, we are happy our customers are doing better because that does represent new opportunities for us. In the first quarter, our risk assessment revenue grew 5.2%, after adjusting for the impact of a transfer of some revenue to Decision Analytics, reflecting the continued value we are delivering to our customers. In Decision Analytics, we grew revenue almost 17%. And our Insurance Solutions and Decision Analytics grew about 11%. Our healthcare solutions continued on the growth trajectory we saw in the last half of 2011, growing revenue over 30% organically in the quarter. And we also were pleased to have the MediConnect team join and look forward to their contributions in the future. In mortgage, we continue to see challenges in the market and our revenue declined apples-to-apples. But I would note that we grew our underwriting solutions at a faster pace than the origination market grew. Overall, our consolidated organic revenue growth was 7.7%, consistent with the expectations we discussed with you last year, as mortgage continues to weigh on growth. Excluding our historical mortgage business, organic revenue growth was 9%. We continue to have conviction around our margin and overall profitability. Our EBITDA margin was 45.9% in the quarter, and diluted adjusted EPS growth of 17.5% was along very strong. We remain disciplined about our use of capital and focused on delivering shareholder returns. We were pleased to acquire MediConnect this quarter and put about $350 million of that capital to work to generate returns. We also bought $39 million of shares in the quarter as we manage our buyback as part of our broader capital allocation plan, including acquisitions. We remain consistent in our approach to balancing uses of capital. As I look towards the remainder of 2012, I am excited about all the verticals we face and the teams we have in place to deliver growth from our markets. Now I’ll turn it over to Scott to talk about our progress against some of our operational goals.
Scott G. Stephenson: Thank you, Frank. We have a number of things on our plate that we believe set us up for future growth, both from a sales and technology perspective. First on sales, we continue to ensure that we have the best teams facing our customers, and we have made some new hires in that area. We are also ensuring that our holistic solution sets are being sold to decision makers. One of the powerful elements of our organization is solutions that can interoperate. Our competitors typically do not have this advantage. For example, our Verisk Insurance Solutions underwriting team has been in operation for a full quarter now, and we are getting good feedback from customers on this approach. On the technology side, we’ve recognized the importance of technology and are continuing to invest behind our platforms, in particular, to deliver better solutions to our customers. We’ve talked earlier about the unified healthcare platform, and we are on track for that to be completed in 2013, with a series of interim deliverables. As we mentioned when we talked to you about the MediConnect transaction, that acquisition does not impact this initiative, and we have other investments including our next generation platform for catastrophe models, which many of you saw as a part of our Investor Day. And then we have host of new claims tools including mobile tools, which can be used to settle claims via smartphones and tablets, while standing with the customer next to their damaged property, as well as Aerial Sketch, which can be used to calculate the cost of repairing a roof without the timer hazard associated with having to climb onto the roof. We remain focused on data and analytics, and recognize that the way they are consumed is tied to evolving technology. The power of marrying our long history of data with forward looking analytics by our customer friendly technology is unparallel. And with that, I’ll turn it over to Mark to talk about our corporate financial results.
Mark V. Anquillare: Thank you, Scott. As Frank noted, in the first quarter, we delivered 10.7% total revenue growth and 7.7% organic revenue growth. And excluding our historical mortgage business, organic growth for the new quarter was 9%. For the first quarter, our Decision Analytics segments revenue continue to lead with 16.9% revenue growth, of which 9.6% was organic and excludes the 2011 acquisitions of Bloodhound and Health Risk Partners, as well as the transferred revenue. I want to remind you that beginning 2012, we have transferred revenue related to mortgage appraisal tools from Risk Assessment’s property-specific revenue category into Decision Analytics’ mortgage revenue category to reflect a management reporting change. The appraisal tools related to insurance customers will remain in the property-specific underwriting category in Risk Assessment. Because the amount is small, $2.9 million of revenue in the quarter, we have not restated historical numbers, but we’ll provide you with an apples-to-apples comparison. As a final note, we closed the MediConnect deal on March 30, so second quarter 2012 will be the first time its revenue and EBITDA will report in our financial results. Within Decision Analytics, our insurance category revenue grew 10.5% in the quarter, all organic. We continue to benefit from the growth in our loss quantification claim tools, with double-digit growth from customers and new solutions. Even after a year of almost 30% growth in 2011, catastrophe modeling solutions continued good growth, due to new customers and expanded use of our models, including out catastrophe bond projects in area in which our market share remains very strong. Our insurance fraud claims solutions also continued good growth in the quarter, driven by 2012 invoices for certain solutions. The revenue in mortgage and financial services grew 4.8% as reported in the first quarter and declined 4.1% after adjusting for the transfer of the mortgage appraisal tools from Risk Assessment into this revenue category. Underwriting tools grew in the quarter ahead of the approximate 5% growth in the origination market. The revenue from forensic solutions declined in the quarter, as new customers and increased usage by existing customers were not sufficient to offset a large customer whose volumes have been trending down in 2011. Our outlook for 2012 from mortgage remains negative, as the current market makes it difficult to predict near term trends for the majority of our solutions, but we have confidence in the long-term value. Healthcare continues strong growth 95% in the first quarter and 32.9% organic. Our total growth continues to benefit from the addition of Bloodhound and Health Risk Partners in 2012 and starting second quarter 2012 will benefit from the addition of MediConnect. Just a reminder for those of you looking at sequential revenue dollars first and second quarters are seasonally lower revenue and margin quarters for our HRP businesses and MediConnect followed a similar seasonal pattern. We are 30 days into our ownership MediConnect and excited about the prospects for the business. Our specialized markets revenue grew 9.4% in the quarter from both our supply chain solutions as well as our weather analytics, both of these areas are delivering solid growth today, and we are optimistic about the opportunities to broaden their reach. Examples included repurposing our weather analytics into the insurance market, and building on our capabilities of 3E in conjunction with both internal and external tools to broaden our supply chain offerings. Turning to risk assessment, we reported revenue of 3.1% in the quarter and 5.2% after adjusting for the impact of the transfer. Our industry-standard programs grew 6.8% in the quarter reflecting our 2012 invoices in good growth from our premium leakage solutions. As you know, we put up new invoices in December, and begin recognizing the new level of the revenue on January 1, and throughout the year. I will note that we had about $1 million of revenue in the quarter related to the license fee which is non-recurring. Our property specific revenue as reported declined 5.6%, but excluding the transfer grew 2.8%, as new sales and higher volumes from certain customers offset (inaudible). Our 2011 industry premium will not affect our invoices until 2013, as Frank noted, it is nice to see the commercial premiums for 2011 almost 4.4% to the positive versus the decline of 1.6% in 2010. EBITDA for the first quarter was $159.2 million, as outlined in table three of our press release, the increase 14.5% for the quarter and our EBITDA margins was 45.9%, an increase versus the 44.4% in first quarter of 2011, and 45% in fourth quarter of 2011, it’s nice to see the scale in the margins. Please remember, as you model that our invoice increases and risk assessment comes through on January 1. But our annual salary increases come through in April. So annual salary increases will be effective in the second quarter, and the increased corporate expenses by about $3.3 million per quarter beginning in the second quarter. Additionally, we expect incremental cost of about $4.7 million in second quarter related to our April 2012 equity loss, primarily resulting from an accelerated vesting upon obtainment of eligible retirement age by some employees. About 70% or 75% of this option impact will be seen in this assessment. Finally, we do not anticipate much impact in 2012 margins resulting from the MediConnect acquisition, however because of the seasonality of its revenue MediConnect margins in second quarter are lower than the full year margins and we would expect to see an impact when the revenue and EBITDA are first reported in next quarter. In the quarter, our risk assessment margins were 55.1%versus 52.8% in first quarter 2011. We benefited by about 1.4% on the margins due to the lower pension costs, on February 29, we froze our pension plan and in early April funded $73 million, bringing it closer to fully funded which will limit the growth in that expense going forward. Our business continues to show scalable profitability, while we continue to invest in developing new solutions. The margin in Decision Analytics was 39.3% in the first quarter 2012 versus 37.7% in first quarter 2011, and 40.7% in fourth quarter of 2011. Improvement in the underlying margins of several of our businesses including healthcare, as they scaled the revenue benefited us in the quarter partially offset by the adverse impact from the mortgage business. We also capitalized a few more dollars in this quarter, some relating to the technology initiatives that Scott had mentioned. Our interest expense was up $1.6 million versus fourth quarter 2011, as the increased interest expense associated with our bond offering in December was fully reflected in the first quarter. We carried excess cash in most of the quarter from the bond offering and our free cash flow. But use them to fund part the MediConnect transaction bringing our cash balance closer to normal levels at $115 million at quarter end. We ended first quarter with total debt of $1.2 billion, including $125 million drawn for the MediConnect acquisition, and a pro forma debt-to-EBITDA ratio of about 1.9% times. In early April, we drew an additional $75 million for our pension funding leaving us at about our long-term target capital structure of two times debt-to-EBITDA on a pro forma basis. Our reported effective tax rate is 39.4% for the quarter. For 2012, we are expecting rate in line with our historical rate of approximately 40%. Coming down to the net income line, we’re focused on adjusted net income and non-GAAP measure, which we defined in the current period as net income plus acquisition related amortization expense less the income tax effect on that amortization. Our adjusted net income increased 12.4% to $79.8 million for the quarter, and adjusted EPS on a fully diluted basis was $0.47, an increase of 17.5%. The average diluted share count was $171.4 million in the quarter, and on March 31, 2012 our diluted share count was $171.9 million shares. In the quarter, we purchased about 900,000 shares for approximately $39 million. At quarter end, we had about $216 million left under our authorization. Our approach to share repurchase remained focused on limiting dilution and only going forward, when we believe we can purchase, we can deliver appropriate IRRs and not crowd out our acquisitions. Our share repurchase program has been successful to-date, generating annualized IRRs of over 25%. Turning to the balance sheet; as of March 31, our cash and cash equivalents were about $115 million; total debt, both short-term and long-term totaled just north of $1.2 billion on March 31, reflecting the debt borrowed to fund the MediConnect closing on March 30, and was about $1.3 million after our pension funding in early April. Post MediConnect and pension funding, our debt capacity is about $600 will continue to grow free cash flow. As we have stated before, we are willing to temporarily go above our long-term target of two time debt-to-EBITDA to take advantage of unique opportunities, particularly on the acquisition front. With that debt capacity available, we continue to look for the right opportunities. Free cash flow in first quarter 2012, which we define as cash from operations less capital expenditures, was $173.7 million, an increase of $46.8 million or 36.9% first quarter of 2011. Free cash flow grew faster than EBITDA bolstered by the timing of cash interest payments on our bonds to our certain customers paying invoices in first quarter this year, then paid in second quarter last year. Our capital expenditures were 4.6% of revenue, we continue our strong free cash flow conversion of EBITDA, which was 109.1% in first quarter 2012, reflecting the typical first quarter pattern in which a good portion of our customers pay their full year quarterly bill in advance. Overall, our business is performing well. We have a nice mix of growth from multiple verticals and we’re continuing to invest in future. With that, I’ll ask the operator to open up the line for questions. Thank you.
Operator: (Operator Instructions). Your first question comes from the line of Eric Boyer with Wells Fargo.
Eric Boyer – Wells Fargo, LLC: The Insurance vertical within your Decision Analytics business, I think it was the first quarter since you’ve been public where you didn’t have your quarterly reported growth, can you help us understand the dynamics of going along within that segment, and when you think the year-over-year organic growth rate should reaccelerate in the drivers of that?
Mark V. Anquillare: Yeah, this is Mark. I appreciate the question, couple of things to note, first of all as you think about the verticals, a relative to fourth quarter of 2011 severe storms, and the seasonal weather patterns were pretty harsh in 2011. So there was a lot of storm activity that did help us specifically on the claim side of things. We are kind of now into a normal or lower time of year with regard to the storms and those claims that are associated with severe weather. The other thing that typically happens at year-end or there so, I will call it more of the one-time project type work that typically falls inside of our catastrophe modeling solutions and those projects, which are usually completed for and focused on year-end we’re also helping and historically helped the latter part of the year specifically for the quarter. So those are a couple of dimensions that helps what is fourth quarter. I think we feel good about first quarter, where we were but to answer your specific question, it was a little bit about well over topic.
Eric Boyer – Wells Fargo, LLC: Okay, great. And then, I think you said you benefited in risk assessment, the revenue growth by $1 million for non-recurring benefit. I didn’t catch what that was from. Could you just drill that again?
Mark V. Anquillare: Sure. Some of the insurance programs are licensed by vendors. So they incorporate our programs in their solutions. Their software solutions, as an example like Policy Admin Solutions and we had in most part fee that was paid in first quarter. That is a normal fees but it’s a non-recurring type of item in the first quarter.
Eric Boyer – Wells Fargo, LLC: Okay. And then just with the MediConnect, could you help us better understand the ramp there, we’re looking at more like a 30% first half or 70% the back half for revenue and EBITDA?
Mark V. Anquillare: I think that’s a good approximation. It’s a little bit tough to have that level of visibility, but we continue to believe that’s about right.
Eric Boyer – Wells Fargo, LLC: All right. Thanks a lot.
Operator: Your next question comes from the line of David Togut with Evercore Partners.
David Togut - Evercore Partners Inc.: Thank you. Good morning.
Mark V. Anquillare: Good morning.
Frank J. Coyne: Good morning.
David Togut - Evercore Partners Inc.: Frank, you highlighted a sharp acceleration in direct written premium growth at your P&C customers in 2011 that will impact your own Risk Assessment revenue growth in 2013. Given that acceleration in direct written premium growth how you’re thinking about pricing – how you’re thinking about pricing for 2013 and can you get into the bottom of your long-term organic target range of 10% to 12% with that pickup in direct written premium?
Frank J. Coyne: Well first on the pricing, we look at our pricing every year based on enhanced value that we bring to our customers plus their actual growth for the year that we have in reports that they submit. So it’s too early for me to really applying on what our pricing might be for 2013. But as you saw with our – on the second part of your question, I mean we’re optimistic because we are you know we add that wind at our face now for few years and now it’s turning, so it certainly gives us more flexibility. And on the second part of your question, I’m pleased that extra mortgage we had a 9% organic revenue growth for the quarter and that’s a good sign and I like the assets that we have and I like the potential that we have for organic growth going forward. So, we still hold on to our aspirational targets.
David Togut - Evercore Partners Inc: We’ll put in other way is there any reason to believe that you wouldn’t have at least CPI type pricing in 2013 in the risk assessment business?
Frank J. Coyne: You know, as I said I really it will be premature for me to talk about pricing, but that’s a reasonable assumption.
David Togut - Evercore Partners Inc.: Okay, thank you very much.
Scott G. Stephenson: All right, you’re welcome.
Operator: Your next question comes from the line of Bill Warmington with Raymond James.
William Warmington – Raymond James: Good morning everyone.
Eva F. Huston: Hi.
Mark V. Anquillare: Hi, good morning.
William Warmington – Raymond James: A couple of questions for the – the first is in 2010 and in 2011, the second quarter adjusted EBITDA margin was the trough for the year and then third and fourth quarter margins were at or above the first quarter margin levels, and would it be reasonable to assume that pattern repeats in 2012?
Scott G. Stephenson: Bill, thank you. Let me just kind of recap a little bit what you’re trying to get to there are two things that affect us in the second quarter. First of all, relative to first, we do have salary increases coming through, those salary increases as I mentioned is about $3.3 million. That's an item that we’ll continue obviously into second, third and fourth, so that’s something kind of model through the year. 
William Warmington – Raymond James: Okay.
Scott G. Stephenson: The vote of on equity awards that were just granted in April because of the nature of accelerated vesting on determined age; that does cause a bit of a one-time item that affects second quarter. So a, the 2012 equity awards are bigger than the 2009, that’s kind of rolling off and these are rolling. So we talked about the 4.7, but a good majority of that 4.7 relates to this accelerated vesting. So that item will affect second quarter and then it will go away for the third and fourth very similar to last year or so.
William Warmington – Raymond James: Okay.
Scott G. Stephenson: To that point those are couple dimensions along the MediConnect that I mentioned that should probably cause a little bit of trough in the second quarter as you noted.
William Warmington – Raymond James: Gotcha, okay and then another question for you would be, you had very impressive growth in the Xactware segment 2011, over 20% and it’s still delivering strong growth against that. And, can you talk a little bit about the new products and new customers in that segment that you’re targeting, and what kind of growth you think you can deliver from the 10% level?
Scott G. Stephenson: Yeah, this is Scott, Bill. There is quite a few things that we’re doing on the Xactware in front of you that rise to the top of the level would be, we’re very excited about the content side of the business. You may know that Xactware historically has been about estimating the value of the structure, but something on the order of 40% of the value overall is in the contents. And the use of automated tools for estimating contents really has not emerged yet fully in the same way that it has on the structural side. And so, we’re very excited about that. Second thing is, the business is finding its way into overseas markets. We sort of have our launching pad into Continental Europe, pretty well established now in the UK and via existing customer relationships, we’re actually reaching over there. And it’s going to be a long march, but we’re encouraged by what we’re seeing. Third thing is, the tools that we use on the insurance side are also useful in the OREO market where the property owner has to keep track of what a cost to maintain a property that’s moved into OREO status. And so, we’ve actually just introduced a line of solutions into that marketplace, and again it’s kind of early days, but we’re encouraged about that. And then, I think you know that the kind of the syncopation inside of the business today is that, our tools are now being used for the adjusting of well over 80% of all residential claims. On the underwriting side, for ITV calculations our share is not that high, but it continues to go up and carriers find it very compelling to think about using the same analytic engine and same dataset for both underwriting the policy on the front end and adjusting the claims on the back end. So we find that the market continues to come to us on that approach. So, a variety of things that are working side of the business, and we do remain optimistic about the growth potential for the business over longer periods of time. There were some exciting things that happened in 2011 that contributed to that 30% plus growth rate, some very large customers coming over into our column. And so, there were something a little bit extraordinary about 2011, but we do remain very optimistic about the business.
William Warmington – Raymond James: Excellent. Thank you for the insight.
Scott G. Stephenson: Welcome.
Operator: Your next question comes from the line of Kevin Mcveigh with Macquarie. 
Kevin Mcveigh – Macquarie Research Equities: Thank you. Wonder, if you give a sense of how much acquisitions impacted the margins in Q1?
Scott G. Stephenson: I will tell you. We have not spent a lot of time on it, because I don’t think it was much of an impact. Remember we’ve always been talking about the acquisitions of [property] in 3E, because they were purchased in December of 2010. So now as we go forward, 1Q '12, 1Q '11, we have an apples-to-apples and the combination of the newer acquisitions, MediConnect and HRP not affect the margins to bigger degree.
Eva F. Huston: Yeah, I think in Decision Analytics, it’s about 60 basis points.
Scott G. Stephenson: Yeah, in just DA.
Kevin Mcveigh – Macquarie Research Equities: Great, thank you. And then, just as kind of the P&C market starts to firm a little bit, does that impact the selling process at all in terms of the type of product, your clients are looking at and just any derivative impact on the business from that?
Frank J. Coyne: Yeah, it does. It frees up opportunities for our customers to look at additional products of ours that they have and interest in, but didn’t have budget for. And the selling cycle shortened somewhat when our customers are growing.
Kevin Mcveigh – Macquarie Research Equities: Great. Thank you.
Operator: Your next question comes from the line of Robert Riggs with William Blair.
Robert Riggs – William Blair & Company, L.L.C.: Good morning. Thanks for taking my question. It’s kind of an extension of the last line of question and you’ve highlighted roughly $1 billion opportunity, additional opportunity in the P&C space. What are going to be the key drivers to seizing on that opportunity? Have you made any adjustments in terms of your sales force and in terms of driving that cross selling, and maybe where are you doing? Feel like you’re doing a good job of pursuing that and where is there still some work to be done? Thanks.
Frank J. Coyne: Yeah, thank you. That’s something we spend a lot of time on. One thing I would point to is you may have noticed that last year we reorganized some of our P&C assets. We pulled assets from actually five different operating units to create various underwriting. And part of the purpose of doing that is to present a more unified coherent face to our customers in the underwriting space. If you look at our position in the P&C marketplace overall and you think about the different disciplines that are at work there, we’re very, very strong with respect to rate making and all of the associated process that goes on in front of the regulators. We’re very strong in the claims function; we’re very strong in catastrophe modeling. In the underwriting discipline, where a presence of the relative strength of our competitive position is not as great and so one of the things that we’re emphasizing is just that and so the reorganization, the naming of a talented executive to run that business for us. All of that really reflects our ambition to become bigger, stronger in the underwriting function and it’s early days, but we do think that this new approach is beginning to yield what we’re hoping it would. Another comment would be that, we’re just very focused on the cross-selling opportunity and so we’ve done what we have done for sometime and have to really make sure that account management is a very strong function for us and basically representing the full range of solutions that we have for our carrier customers. And those are the kinds of things that we do, there is nothing, I mean the reorganization was obviously a point of time thing, but a lot of it is just as long steady approach presenting all of our capabilities to the customer base and being a good partner. 
Robert Riggs – William Blair & Company, L.L.C.: Great, thank you.
Operator: Your next question comes from the line of Suzi Stein with Morgan Stanley.
Suzanne Stein – Morgan Stanley: Hi. The pro forma financials with MediConnect in spite of the revenue growth in Q1 was about 67%. Is there anything unusual there that would cause it to be so high and should we expect this rate of growth for the rest of the year?
Mark V. Anquillare: So, Suzanne, this is Mark. I appreciate the question. The first quarter, as we said, there is a little bit of seasonality to it. When we talked about seasonality at year-end, year-end also kind of rolls into January. So there is a little bit of positive wind that still flows through. I think that we are still comfortable with the discussion we had. I don’t know if we have any optimism about second quarter or view too much into what we saw in the first quarter. So, hopefully it’s a little bit of a positive, but I would not change anything we described relative to the Mediclaim call where we talked about growth consistent with the past.
Suzanne Stein – Morgan Stanley: Okay. And then, the organic growth rate in specialized markets have been very volatile, what do you think is a normalized growth rate for that business?
Mark V. Anquillare: Well, let me just describe. Last year, well, we did run into, inside of the specialized was government and budgetary constraints, but that caused a little bit of a downturn towards the end of the year as government kind of shutdown for a piece. The other thing that I will remind you is that we want a very sizable contract. It grows our contract (inaudible) so we had that growing very quickly until we got to a point where we had this growth on that contract. So you saw last year towards the quarter, the fact that the contract did come, of course through the full year. I think what you’re seeing now in first quarter, feels like a reasonable growth rate and I think we’ve (inaudible) and I would call normalized, I think we found some consistency.
Frank J. Coyne: The climate and science part of our business is actually starting to find a little bit more traction in the commercial markets, which should overtime both get bigger as a percentage of the total and be somewhat steadier with respect to the revenue profile.
Suzanne Stein – Morgan Stanley: Okay. And then, just one final question on the mortgage business. What are you expecting as far as declines for the rest of the year, and how far along is the customer that you singled out, just in terms of winding down the business?
Frank J. Coyne: So let me describe. I think what we said during the year-end call is that we can see the mortgage business declining similar to what we saw in the quarter, which was a 7% decline. We said we could see the negative aspect of the market being to that level throughout the course of '12. And to your point, I mean, what we’re seeing is our business on the front end, just would relate to the underwriting side of things, growing faster (inaudible) build on the customers and that is growing faster than mortgage relation bonds as a whole, but, unfortunately the one customer trending down is more than offsetting some of that good news that we’re seeing on the existing customers. So we think we are well positioned. I think we remain very optimistic for the future because we are improving our position inside the market, but it’s a challenging one at this point.
Suzanne Stein – Morgan Stanley: So I guess, just to clarify on that customer that’s trending down, are you kind of getting close to the tail end of that or will that continue for the foreseeable future?
Frank J. Coyne: It’s going to continue through third quarter.
Suzanne Stein – Morgan Stanley: Okay. 
Eva F. Huston: Okay.
Suzanne Stein – Morgan Stanley: Great. Thank you.
Operator: Your next question comes from the line of Jennifer Huang with UBS. 
Jennifer Huang – UBS: Thank you. Maybe if you could just talk a little bit more about the healthcare business, the growth was obviously very strong there. I was just wondering, how much of that do you think, maybe attributable to your efforts to integrate the healthcare platforms into just one? And then, maybe as a follow-up, I think you guys have mentioned investments in the integration process of about $10 million over the course of two years. Maybe you can quantify how much of that you saw in the first quarter or how much of that impacted the EBTIDA margins?
Scott G. Stephenson : Yeah, let me take the first part of that, this is Scott, as it relates to healthcare. We are working hard on integration. I just would like everybody to understand that there are actually two different forms of integrations that are now working inside of what we’re doing in healthcare. The first is that we’re trying to unify the data analytic platform, off of which the individual solutions are built. And that has to do with coming up with normalized data models and creating a data warehouse structure that can serve all of the different aspects of what we do, whether it’s trying to add value to claims or it’s trying to engage in risk adjusting, et cetera. So that’s one thing which is ongoing. I mentioned earlier that that’s a project, which continues through 2013 and that will hopefully and should and we plan for it to work to the benefit of all of the different sets of solutions that we provide into the marketplace. There is the second integration, which we’re now undertaking, which is related to the MediConnect acquisition and basically there is, and we are going to feature in a way that we operate, a strong linkage between three things that we do. One is chart retrieval and abstraction, which is what MediConnect does, HEDIS reporting, which we already do, and risk adjusting on behalf of plans that are seeking Medicare reimbursements. Those three businesses actually have a lot of, logically relate strongly one to the other. And so, we are at work even now to try to pull those operationally together so that we can present yet more integrated and streamline solutions to our customers. I guess what I want to emphasis with respect to result is that we are just in the process of integrating right now. So I would not really attribute anything in our first quarter 2012 healthcare results to the integration work that we’re doing. On your second question, which is the investing we’re doing to achieve these new platforms. There’s actually two major streams of investment, which are going on. One is the unified platform in healthcare, and the other is the next generation platform supporting our catastrophe models, and that’s the number that you’ve heard us reference before. It’s not all just been healthcare.
Jennifer Huang – UBS: Okay, great. Thanks.
Scott G. Stephenson: You’re welcome. 
Operator: Your next question comes from the line of James Friedman with SIG.
James Friedman – Susquehanna International Group: Hi, thanks for taking my question. Mark, the cash flow from operations was up almost or above 30% year-over-year. It seem like some of that was related to a reduction in working capital. I was wondering how sustainable that is? 
Mark V. Anquillare : Sure, well, thanks for the question. We did have very good first quarter, so two things or a few things that factored into it. First of all, let me remind you, in first quarter of last year, we talked about a refresh of our technology environment here in New Jersey City and that was a little bit about periodic thing. So we have a drop in CapEx in first quarter 2012 relative to 2011, so that helped us. The other things that, we highlight or want to highlight is that the semi-annual aspect of bond interest did not run through the P&L in the first quarter, so that helped us sort of on catch up in second quarter, so that’s about I think about $6 million. And the rest of it, I will call out maybe about $7 million, $8 million where we can point to customers who seem to be paying in first quarter of this year and paid may be in second quarter last year. So when I normalize all that, I think we’re still seeing free cash flow growth about 20% which is very strong, very positive, since we have everyone in the call, I do want to remind you that second quarter we did make this $72 million funding of the pension for that $72 million will have to just normalize next quarter that will be considered in operating cash flow and reduce it, but the underlying trend in underlying seems quite positive and we’re pleased with the first quarter results there.
James Friedman – Susquehanna International Group: Okay, thank you and then Scott just for a clarification attribution perspective, the HEDIS reporting, the charting and the risk adjustment solutions that you described earlier, how were those going to be categorized between analytics and assessment? 
Scott G. Stephenson: Well, we’re going to have to look at that, I think that – structure needs to follow function and I don’t know that we’ve actually sorted that out, I mean the HEDIS is inside of enterprise analytics today, this is our own structure and then the other piece the Medicare is revenue integrity but will, we’re working first on the organizational integration of those so we will see. 
James Friedman – Susquehanna International Group: Okay, thanks for taking my question.
Scott G. Stephenson: Welcome
Operator: And there are no further questions at this time.
Eva F. Huston: Great.
Frank J. Coyne: All right. Well, thank you for joining us on our first quarter results, and we look forward to speaking with you again and we continue to thank you for your support.